Vincent Clerc: Welcome, everyone, and thank you for joining us on this earnings call today as we present our first quarter results for 2024. My name is Vincent Clerc, I'm the CEO of A.P. Moller, and with me in the room today is our CFO, Patrick Jany. Yes, we can move straight to the slide. The first quarter 2024 played out as we expected. With an EBIT of $177 million, we deliver a strong sequential recovery in earnings. Our 3 main business segments of Ocean, Logistics & Services and Terminals all saw year-on-year volume growth with a demand that has stabilized. In our Ocean business, we saw strong market demand towards the upper end volumes of our volumes outlook of 2.4% to 4.5%. While on the supply side, the Red Sea disruptions has persisted for the entire quarter and counting, leading to under supply as vessels sailed longer routes. These 2 factors have led to higher rates. We have reconfigured now our network to tackle the disruption and keep our offered capacity intact to our customers. Costs have inevitably risen due to the reroutings, but we have not steered away from our unrelenting focus on cost management to build greater resilience in this business. In the Logistics & Services, we continue our journey towards raising margins and renewing the business with growth. We saw volume growth across the board in all product families. Margins are still under pressure, challenged by implementing in recent contracts wins in Ground Freight, also known as middle mile in North America, and continued white space in Warehousing. Nevertheless, in both cases, we know exactly what the problem is and what to do. We just need to get on with our work and deliver better results in the coming quarters. Our Terminal business went from strength-to-strength from the new baseline set in 2023. We saw another good quarter with strong performance while the business continued to invest in growth in the form of further expansion and automation throughout our gateway portfolios. On the back of a strong container market and the Red Sea disruptions likely to remain well into the second half of this year, we raised the lower end of our financial guidance, which I will get back to later on the call. Before we look at the segment more close, let me say that we have had a positive start to the year as we continue to focus on profitable growth and strong cost discipline. Specifically, in Logistics & Services, we saw strong volumes across all product families, with 2 of our 3 service models managed by Maersk and transported by Maersk contributing as expected financially. As mentioned, we have had some short-term challenges in our Ground Freight, which is part of fulfilled by Maersk, and where we have a plan in action to address the issue. Furthermore, as part of our efforts to adjust the fixed cost base, we continue to right-size our warehousing footprint and drive utilization up. In Ocean, we have seen strong market demand coupled with a temporary reduction in supply due to the Red Sea disruption leading to strong volume and rate performance. As the expectation for the length of the disruption increased, we have reorganized our network, which has brought with it a significantly higher cost, but will guarantee the integrity of our service to our customers. We were able to achieve 95% capacity utilization through the period, but not without reliability challenge, which we now need to tackle. It is impossible to predict how long the current situation will continue, but we are now well positioned to endure this disruption for a longer period. We remain extremely vigilant in our cost management and we expect price pressure to eventually return as new vessel deliveries with rapidly increased supply. Our Terminal business has shown continued robustness and experienced volume recovery particularly in the U.S. West Coast compared to the first quarter of 2023. The robustness of Terminals can be seen in its ability to improve pricing reflected in revenue per move while keeping its cost base stable to improve overall margins. The quarter delivered a ROIC over 11% compared to our mid-term target of 9%, which is a testament to the growth investments that we have made over the years, including the expansion and the automation. We have shown these slides for many quarters now, and the key message this quarter is that our strategic transformation continues despite market uncertainty, and we do that by focusing on cost and seeking profitable growth. This quarter has not produced the best scorecard for our mid-term targets. Nevertheless, we have remained disciplined on executing with our existing fleet and maintain effective asset utilization in Ocean. We delivered strong return on invested capital in Terminals. All this and more have translated into a formidable return of invested capital for APMM, just shy of 35% on average since we presented the mid-term targets back in 2021. As we progress further into 2024, we expect to see fuller circles on this slide. At this point, let me confirm our priorities for the rest of 2024. Essentially, we stay on course as we set back at the start of the year. In Logistics & Services, we renew the business with growth and raise margin and maintain our course towards getting back to 6% EBIT mid-term margin ambition. Specifically, while our gross margins are solid, we need to lift our overall profit margin by addressing first our issues with customer implementation in Ground Freight in North America and warehousing white space. Similarly, we need to continue our progress in recalibrating our fixed cost base so it fits our level of business and improve productivity. As we have demonstrated with good volumes growth this quarter, we continue winning more customer contracts, which is very encouraging. In Ocean, we want to deliver best-in-class performance in the current volatile market, while at the same time preparing for the network of the future and the Hapag-Lloyd Cooperation. Front of our mind is selectively injecting new capacity to cater for the ongoing rerouting and strong container markets. Secondly, it's about yield and costs. We continue to manage yields on our Ocean asset base and bring down our unit cost in line with our ambition to get back to 2019 levels despite the Red Sea disruption. Gemini Cooperation will be a significant contributor towards a cost base that is not only more competitive, but also more resilient against crisis and market headwinds. Finally, it is imperative that we minimize supply chain disruptions for our customers and restore reliability while still preparing for the Gemini Cooperation. In Terminals, we continue to lift the bar set by our own performance to sustain momentum on margin optimization through LEAN implementation. We replicate what we have done to date across our portfolio and sustain our ROIC momentum. Secondly, we execute on, among others, 2 state-of-the-art greenfield terminals later this year, namely Suape in Brazil and Rijeka in Croatia, both of which will be fully electric and showcase the best of APMT to the world. The same ambition applies to our hub terminals, which facilitate our Ocean business and will be a key driver for Gemini. We invest and ready those terminals for the Gemini go live in early 2025. Before I get to the updated guidance, I would like to say a few words about the ongoing disruption in the Red Sea, as it is the main influencing factor for our adjustment. You may remember a similar version of this slide back in our fourth quarter result 3 months ago. The way this has played out so far in quarter 1 is exactly in line with the expectations we communicated back in February. That is, we saw rates first spike in the early weeks of the disruptions on expectation that shortages would inevitably result from the longer sailing distances. As the situation got entrenched, container lines, including Maersk, have reconfigured their respective network and injected extra capacity wherever feasible to cater for the rerouting and the longer disruption. Rates began to ease thereafter. More recently, they have started to increase again on the back of strong market demand exacerbating the very tight supply as most of the global slack capacity was absorbed in the longest sailing routes. Stronger demand and longer Red Sea disruption will have an immaterial impact on rates in the coming couple of quarters and continue to create inflationary pressure across our cost base that could stay with us for a while. We know that with the new container tonnage coming online at a rapid pace, this will be alleviated sometime during the year and we will again see a gradual decline in our spot rates. And this is the reality, as we said in our Q4 announcement in early February. No matter how long the disruption may last, market fundamentals of increasing overcapacity in the container markets loom and will eventually prevail. We expect this impact to start hitting us either in quarter 3 or later. What you see on the left-hand side is an illustration of this. We now know the 3 months disruption scenario is no longer relevant, so rates that have been propped up by the ongoing nature of the disruptions. Similarly, the original 12-month view is also outdated given the stronger market demand, which has propped up rates further. However, the significant new capacity coming online will eventually put downward pressure on rates. Again, rates will be propped up by the ongoing nature of the disruption or even stronger market demand. We just don't know how long this disruption will last and to what extent it will impact us, which is why significant uncertainty remains as to the overall financial impact in the latter part of 2024. What we do know, however, is that the disruption has increased the cost of the network. We see it through higher network costs from having to deploy more vessels through time charters that are expensive and carry longer duration, higher bunker costs due to higher consumption from longer distances as well as higher speeds, and higher container handling costs as port bottlenecks have started to increase, especially in the Western Mediterranean. While we cover our cost for now, we remind ourselves of the overhang that may remain from it while even after the potential resolution of the situation in the Gulf of Aden. And that is a good segue into the next slide. First, we have seen good container volume growth. A strong Q1 and an expected resilience in volumes in the next couple of quarters put us towards the upper end of the 2.5% to 4% volume growth that we had provided earlier. We maintain our expectations to grow in line with the market. We have already talked about the Red Sea disruptions just now and that it is likely to remain well into the second half of the year, which together with strong container market demand will support stronger rates and volumes. On the other hands, we have also talked about the significant oversupply challenges in container shipping that will eventually prevail over the short-term tailwinds that we are experiencing right now. For now, however, market fundamentals are being delayed by the 2 other effect. Taking all those factors into considerations, we have decided to raise the lower end of our financial guidance such that we now expect the full year 2024 to deliver an underlying EBITDA of $4 billion to $6 billion, an underlying EBIT of negative $2 billion to break even, and a free cash flow at superior to negative $2 billion. So a cash outflow of $2 billion or better. Our CapEx guidance remains unchanged. And with that, I would like to pass the floor to Patrick for a closer look at our financial performance.
Patrick Jany: Thank you, Vincent, and welcome to everyone on the call from my side. As Vincent said, the first quarter of 2024 developed in line with our expectations. The disruption in the Red Sea impacted our Ocean business and combined with strong container market demand on the one hand and excellent performance in Terminals on the other. We delivered an EBITDA of $1.6 billion and an EBIT of $177 million, corresponding to margins of 12.9% and 1.4%, respectively. This represents a sequential increase of 90% in EBITDA, demonstrating a significant recovery in earnings since we closed the books on 2023. These results also led to an improvement in free cash flow, which improved to negative $151 million, compared to a negative $1.7 billion in the fourth quarter. We closed Q1 with total cash and deposits of $19 billion and a net cash position of $3.1 billion, demonstrating a continued robust balance sheet. In terms of returns to shareholders, we distributed $1 billion in dividends this quarter and bought back shares worth $440 million. In addition, we have further increased returns to shareholders with the demerger of Svitzer. And before speaking more to it in a minute, I would like to remind everyone that as a consequence of this demerger, Q1 '24 marks the last complete quarter with Svitzer towage activities as part of the Towage and Maritime Services segment. Our remaining TMS business activities will be presented with unallocated going forward. Focusing on the Svitzer demerger, the shares of the Svitzer Group successfully started trading on the NASDAQ Copenhagen on Tuesday, April 30, after being approved by the A.P. Moller - Maersk shareholders on April 26. The spin-off is in line with the consequent portfolio streamlining we have executed in the last years in order to focus our activities on end-to-end logistics. This pro rata distribution of Svitzer shares to shareholders implies an in-kind distribution of approximately $1.1 billion and the opportunity for our shareholders to directly participate in a leading infrastructure provider with proven track record in terms of profitability and growth. For fiscal year '24 and thereafter, Svitzer expects to pay 40% to 60% of annual net profit available for distribution as dividends, which will provide further cash returns to APMM and Svitzer shareholders. On that note, we wish all the best to Svitzer and our former colleagues on their onward journey as an independent company. Now, looking closely at our cash generation on Slide 13, we see that our free cash flow of negative $151 million for the quarter is mainly due to the lower operating cash flow compared to 1 year ago. The cash conversion was a relatively weak 69% this quarter, mainly due to an increase in working capital as a consequence of increased trade receivables in Logistics $ Services and Ocean due to growth and Red Sea disruption. Our gross CapEx was $706 million, representing a decrease both sequentially and year-on-year, due to the timing of vessel deliveries. The main CapEx this quarter were final down payments on new vessels in Ocean, including the delivery of our 2 methanol vessels Astrid and Ane Maersk, and equipment to modernize and automate our hubs and gateways as we expanded capacity and prepare for the new Gemini network. Overall, we are tracking well within our CapEx guidance, and these installments well on track as well. The further bridge to our net cash flow shows our significant returns to shareholders of $1.5 billion and the proceeds of our $1 billion dual tranche euro bond. Now let's deep dive into each of our 3 main segments, starting with Ocean on Slide 14. As Vincent mentioned, we showed strong delivery in Ocean on the back of the Red Sea disruption, which combined with robust container volume growth drove up container freight rates, compensating for the higher costs brought on by the rerouting and marked a significant sequential rebound, both in terms of revenue and profitability compared to the fourth quarter in 2023. But still significantly lower than the still COVID-influenced high-rate environment of the previous year. Volumes were 7.5% up year-on-year, with the global container demand recovering from a low previous basis, as we also gathered spate during the quarter. On the other side, the quarter also saw an increase in supply, which began to exert downward pressure on rates, as the immediate extra capacity requirement due to the Red Sea was absorbed. While rates have eased since their peak early in the quarter, they remain elevated, driven by strong demand and the ongoing Red Sea disruption. As we progressed during the quarter, profitability progressively picked up as the disruption effect receded and the network stabilized, although at higher costs, which will need to be addressed in the coming quarters. Let's turn to the family EBITDA bridge on the next slide, which shows that the main element impacting profitability when compared to the previous year was the further deterioration of the freight rates by 18%, which more than offset the already mentioned rebound in volumes. Bunker price was flat year-on-year. And container handling costs, excluding the volume effect, had little to no impact. Network costs increased due to a higher 16% consumption in bunker, as a result of longer trips and higher speed for rerouted vessels. Finally, we have a negative $1.1 billion driven mainly by revenue recognition, which will unwind over the coming quarters, combined with mixed effects and lower demurrage and detention revenue compared to Q1 2023, when landside bottlenecks were still quite high. We have touched upon some of the key operational figures on Slide 16 already, while freight rates have decreased 18% year-on-year, they have increased 23% quarter-on-quarter, driven by the Red Sea disruption, stronger container market and extra capacity due to the rerouting. Similarly, unit cost at fixed bunker has increased 9% sequentially, driven by, amongst other, higher bunker consumption over longer distances. And nevertheless, bearing the effect of the Red Sea and comparing to the first quarter of '23, our unit cost fell by 3%, helped by higher volumes, confirming the downward trend as we work to get our cost back to the 2019 levels. Our average operated fleet capacity increased 1.4% sequentially, and our capacity utilization increased to 95% to accommodate for the capacity absorption of the Red Sea disruption and the stronger container volume growth. But this had an impact on our reliability, which remained challenged. Now, turning on to our Logistics business on Slide 17. We saw this business return to growth in the first quarter, with volumes increasing across all product families, demonstrating the end of the destocking and confirming the strength of our value proposition towards customers. As a result, revenue has stabilized, delivering $3.5 billion, equivalent to a 1% year-on-year increase, notwithstanding lower rates, especially in First Mile and Air. The profitability of Logistics & Services was solid in most products, but severely impacted by challenges in contract Logistics and Ground Freight, such that EBIT was limited to $54 million, equivalent to a margin of 1.5%. In light of the good volume momentum and our actions to tackle the specific cost issues, we expect margins to have bottomed out, with improvements to follow in the coming quarters. Let's have a look at our Service models on Slide 18. While you are familiar with our Service model, we just wanted to remind you that managed by Maersk contains many of the service businesses such as Lead Logistics and Customs House Brokerage. Fulfilled by Maersk contains our contract Logistics business and Ground Freight, also known as middle mile and last mile. And transported by Maersk contains our intermodal business with first mile cross-border transportation, Air and LCL. While we have identified issues in implementing new contract wins in Ground Freight in North America, and we have continuing white space in warehousing in Europe and North America, both of which sit in fulfilled by Maersk, it is important to stress that managed by Maersk and transported by Maersk are performing and contributing with good volume growth, albeit offset by lower rates. Starting with the top, managed by Maersk had revenue decrease by 18% to $468 million, resulting from lower rates and a change of mix in Lead Logistics and Customs. Conversely, the EBITDA margin increased to 17.3%. Next, fulfilled by Maersk had revenue increase by 8% to $1.4 billion. Overall EBITDA margin declined to a negative 6.2% on the back of the difficulties just mentioned earlier. Transported by Maersk revenue increased 2% to $1.6 billion, while freight rate pressure from Air and First Mile led to a slight decrease of the EBITDA margin to 6.5%. On Slide 19, we turn to Terminals, which once again delivered a quarter with excellent performance, driven by 9% higher volumes and increased tariffs to compensate for inflationary pressure. From a geographic perspective, North America drove the majority of the increase as U.S. West Coast volumes recovered 29% compared to a week first quarter 2023 and solid growth in Latin America. The good progression in volumes together with strong pricing and strong contribution of joint ventures allowed for a 45% increase in EBIT to $300 million. This also allowed for 11.3% return on invested capital well above our 9% midterm target as mentioned earlier. Now, let's take a look at the details of Terminals' profitability on Slide 20. Here we can see the rebound in volumes, which is consistent with the volume trend we are seeing across all our business segments. The higher volumes combined with CPI related tariff increases and a positive consumer mix caused revenue per move to increase 4.5% despite the continued unwinding of storage income. At the same time, cost per move increased only marginally by 1.1%, leading to an EBITDA expansion to $348 million, a 20% increase compared to Q1 '23, and a 15% increase sequentially. Once again, the Terminal business showed resilience through the ability to protect margins through a combination of tariff increases and operational excellence. With that, we conclude our review for the first quarter. And I would now like to hand back to the operator to start the Q&A session.
Operator: Our first question comes from Lars Heindorff with Nordea.
Lars Heindorff: It's regarding the Ocean business and regarding the rates. If we look at the 3 routes for which you disclose rates, we can see that East-West on average is up by close to 50% quarter-on-quarter, whereas North-South and regional are largely flat is quarter-on-quarter. The increase in the East-West from around [1,800] to around [2,700], I assume that is caused by the surcharges related to the rerouting. So what I'm searching for here is a little bit of help to understand the magnitude, how much of that increase is actually caused by the surcharges. Is it all by the surcharges? Are there any underlying change in contract rates there, which we also might support rates throughout the year? Or how should we think about that increase also in the 2,700 into the coming quarters?
Vincent Clerc: Lars, Vincent here. So the rate increase that you see on the East-West trades is due both to the short-term business that we're having that has taken significant increases, which you can follow on the SCFI. It's pretty closely indexed to that. It is the surcharges, and there is also, but it's a smaller part of underlying contract rates that are -- that have taken a permanent increase for the year. The reason why the surcharge makes up the largest part under the contract is a lot of the contracts that are affected by the Suez situation are into Europe and they were negotiated in the fourth quarter for the most part. So before you could actually build that in on a permanent basis, that's why for them it's only a question of surcharge, whereas a lot of the accounts that we have negotiated later after the situation in the Red Sea in Korea, in Japan and in the U.S., they have taken part in the surcharge and part in the normal rate level that will be more sticky as the situation goes. The one thing that I want to say also is what we have done last quarter, we explained that it was about 35% of our volumes that were subject to those increases -- that was -- that were affected by the increases that we saw in connection with the Red Sea. What we're seeing now is actually this stronger demand is having a broadening effect in terms of rate application or application of rate increases. In trades also that do not necessarily are affected by the Red Sea, but are affected by shortages of capacity that we see right now that has a hard time to cope with the higher demand. And that's true for trades such as Latin America or Africa, which maybe was not a story before, but is starting to broaden the impact right now. And that will have a positive impact on at least Q2, possibly Q3 as well.
Lars Heindorff: And just to follow-up on that, which is because you mentioned that we've been talking about this several times about the split between spot and contract where you say that on average, you're 70%, 30% roughly, if I recall correctly. Is that also the case on East-West? Or is it any different there?
Vincent Clerc: So actually, we're about 30% to 70% on East-West. We're probably closer to 40%, 60% on the global when it comes to some of these contracts, but they are very, very short, so they get renegotiated all the time. The prices get renegotiated all the time. So our exposure, if you look at it overall, is closer to 60%, 40%. And then on the East-West, it's about 70%, 30%.
Operator: Our next question comes from Patrick Creuset with Goldman Sachs.
Patrick Creuset: First question, just on the buyback. Is the potential return of the buyback program at some point this year data-dependent? Or do you see the door definitely shut for any buyback this year? I'm just thinking, it's a scenario where the market continues to be -- to hold up a little bit better than you think. EBITDA and cash flow expectations are revised up, and you find that there's basically a budget for a buyback at some point this year. Second question, just on Terminals, really nice performance in Q1. The question is just, can we extrapolate the strong unit revenue in the first quarter? Or do you still see a bit of an overhang from storage revenues that will maybe drag it down a little bit in the coming quarters versus the underlying price increases?
Vincent Clerc: Yes, thank you, Patrick. On the buyback, I think when we -- we flagged that we put the share buyback under review in Q3, which was well before any disruptions in the Red Sea, and the reason for doing that was a looming overcapacity that we saw with a large order book that had to be phased at a pace that we believed and still believe over time is well above what market demand is going to be. This -- the current situation that we're into actually is, you could say, alleviating those fear in the short run. But I would say that our concern about eventually running into an overcapacity situation are still there. And even if this has been delayed for 2 or 3 or 4 quarters, it is something that we still see as a concern for -- that we still see the order book as a big concern. And so, I would say we would need to see something change in the outlook beyond a temporary situation in the Red Sea for us to reconsider. On Terminals, I think that the performance in Terminals is very strong, and except for a little bit of storage that happened in connection with the initial disruption of the Red Sea that propped things up a little bit, for the most part this revenue per unit increases is something that is going to stick and that you can model into the future. So we have a really, really strong resilient, profitable business in Terminal that has now proven across highs and lows its ability to keep its pricing power and to protect or increase margins. And I would say that we have, with the growth that we have and the plans that we have to further the journey on operational efficiency and automation, I think also potential to maintain that or maybe even do a bit better.
Operator: Our next question comes from Omar Nokta with Jefferies.
Omar Nokta: Just wanted to just talk about the guidance. Clearly, obviously, you raised the bottom end of the range here as the Red Sea situations persisted. Vincent, you mentioned demand being much stronger than expected, at least coming into this year. And we've -- also, you referenced the latest momentum in freight rates here recently. Do these 2 factors, the stronger demand and this latest leg up in rates, does this at all point to the top end of the guidance range being exceeded? Any color that you can give on that?
Vincent Clerc: Yes, so I think, to -- the guidance varies enormously based on 2 things, which are the 2 that you're into. How long does the Red Sea disruption continue? If it goes the year through, then you will see, as we mentioned last time, 6% to 7% is the capacity that gets absorbed in just plugging the hole. If that was to stay for a long time, you would likely see that number increase because people would start also to slow steam. With the current oil price, there is a big cost advantage in actually plugging even more of that overcapacity into slow steaming south of the Cape to lower the extra cost that there is from sailing these longer distances. So if this stays, then this will gradually absorb more and more capacity. Then there is the demand. If the demand was to continue like this throughout the year, that would have to lead to us having to review the volume outlook. Currently, we see it as being towards the upper hand. If this was to continue the whole year, it would be higher than that for the year. And that would then point 2, I think, something that would be quite positive compared to what we see as the likely scenario today. The strength in the market, I mean, it's -- in some trades it's very significant and it has no direct GDP correlation. So it really depends on how long you think this can last.
Omar Nokta: And if I could just one follow-up, just regarding the trade flows or the stronger volumes we've referenced, how it's been North America-driven, at least in the past several months, where else could you -- are we seeing this strength? Are you seeing it in Europe? Is it the North-South trades? Any other areas of promising trade signals?
Vincent Clerc: Yes, so it's quite interesting, right? Because, of course, on the headline, North America is very much up, but last year they had a terrible first quarter. So last year they were down 25% over '22, and this year they're up about 26%, 28% over '23. So they're basically back on trend line. Europe is actually up 9% over last year. West Africa is up 18%, and Latin America is up 22%. So you're seeing this trade flow being significantly up year-on-year, and that is what is exacerbating the shortage of capacity that you have in the short run as everybody is sailing these longer routes and have to absorb a lot of the extra or slack tonnage that there was in the world has gone into plugging those. It creates these shortages in some of these other trades, and that's why the rate increases is actually broadening from the routes that are impacted to the Red Sea to actually a broader set of trade routes.
Operator: Our next question comes from Muneeba Kayani with Bank of America.
Muneeba Kayani: So just going back to your comments earlier, how should we then think about 2Q, and did you suggest that 2Q could be better than 1Q in terms of EBITDA? So I wanted to clarify that. And then secondly, just on your guidance still, on Slide 8 and the chart there where you have the red line, kind of how are you then thinking about peak season in your scenarios? And is that kind of the red line coming down during peak season? Is that an assumption around capacity or the Red Sea situation?
Vincent Clerc: So I think, if you go back to what I said before, these 2 things, market demand, how long does it keep on being so strong? And Red Sea, how long does it stay with us? What that means is right now, if you think about both the lower and the midpoint of the guidance, you would have a Red Sea situation that get resolved before the end of the year. And you would then see probably the fourth quarter being the worst quarter of the year. That's where most of the uncertainty is. You will see a second quarter that should be better than the first quarter for 2 reasons. First of all, in the course of the first quarter, rates went up. Now they are up. And then in the second quarter, so you have a higher entry point, you could say, in the quarter. And then you have this broadening effect that I just mentioned in 2 other trade lines. So you can actually get rate increases on more containers than what we've been able to get in the first quarter, which is a positive. And then as we get 2% or 3% of extra capacity every single quarter. So the absorption capacity of it, definitely in the second quarter, is fairly safe. In the third quarter, it will depend on strength of demands and how capacity gets deployed. And then, again, in the fourth quarter, if then we still sail all the way through the year, through the south of the Cape of Good Hope, and demand stays very strong, and people plug their stuff -- their ships, towards slow steaming rather than extra capacity, then you may have a different scenario. But that is too early for me to call. I think what we see so far is at least a better second quarter, the fourth quarter being the most challenged one, and then the third being a bit of a transition between the 2, depending on where you see them land.
Operator: Our next question comes from Dan Togo Jensen with Carnegie.
Dan Togo Jensen: A question on the Terminal side. Just to conclude maybe on what you said earlier, Vincent, it seems to have strong momentum and also seems sticky. So the EBITDA margin of just short of 35%, this is what we can expect in coming quarters as well. Can we conclude that? Or how do you view that? That's the first question.
Patrick Jany: Yes, it's Patrick. So coming back on Terminals, they do have definitely a good margin, which is actually quite an ongoing margin for them. Remember that the Q1 last year was actually weak because of lower volumes in the U.S., reduced storage income and low joint venture income. So they're actually on a run rate that you can see already in the second half of '23, which is continuing into Q4, into 2024, and we expect this to continue, given what Vincent was saying earlier. The basis of the business is strong. We have a good revenue per move and a cost per move under control, and that should continue into the year, right. So I think there is a certain element of stability when you look at Terminals looking forward in terms of profitability.
Dan Togo Jensen: And when just -- and then a question on the global. The global fleet and how you view your own activity here, because as you allude to, clearly the market is all supplied, come a resolution on the Red Sea, and that disappears. But exactly, how do you expect the market to behave? No question, rates are likely to adjust down again in terms of demolishing, scrapping vessels. How fast will that come in? And how will you behave yourself? I mean, do you have vessels scheduled for scrapping as soon as we come out of this big windfall period? So exactly what are your plans here?
Vincent Clerc: Yes, so I think it's unlikely to see any scrapping this year, because right now, every ship that is more or less able is working and helping us cope with the disruptions and the demand. So I think, during this year, what we will see is carriers plugging or using the extra capacity as long as we sails south of the Cape of Good Hope to plug the holes in the network, cater for demand, and set the speed down on the network wherever it makes economic sense to do so. On the other side of this, either even if the situation on the Red Sea was to endure for 2 years, 3 years, 4 years, the current order book would eventually be bigger than what we expect market growth to be. And then you would eventually need to see some scrapping start to take place in the course of 2025. Our approach to fleets is the same. We have an ambition to have a fleet that is about constant, so we're not going to increase it. We're going to stay around the 4.2 million, 4.3 million TEUs that we have. And if we get new ship deliveries, we're getting a few now of these methanol vessels, then this is not going to be used to grow the fleet, but it's going to be used to push some other tonnage out, either by returning it to the tonnage provider or by having ships that can be scrapped. And that will continue to be our strategy in the coming years.
Dan Togo Jensen: Then just a final question here on the market and the growth. You alluded to that growth is a bit stronger than you expected. You also increased, you can say, to the high end of the range here. Is this stronger growth than expected? Can you give some color on that why? Maybe you can help to explain it. Is it relating to restocking, et cetera? So that would be the first one. The other one would be with your visibility right now, looking into the coming month's quarter, can we expect a more normal seasonality pick up now? What is your visibility here?
Vincent Clerc: Yes, so 3 things I think that drive this. On North America, I think it's just a base effect that last year they were going through a destocking. The numbers were artificially low compared to what was being consumed. And now we've been through that destocking. And if you look on a sequential basis, actually Pacific is just stable at a level that is in line with what is being consumed. So that's like a base effect. In Europe, with 9% growth, I think, what we believe is that there is something of a restocking because there was cautiousness last year in Europe that maybe the macro would not be so good, and people have run their stock down, and consumption keeps on holding better than maybe what some of our customers have feared. And now you have a little bit of a restocking going on as we're moving into the year. And then you have these very high growth rates into Latin America and Africa that have come recently. And there we are a little bit more cautious about assigning causality because it's very disconnected. Therefore, there is very bad data on inventory, and it's very disconnected from what happens on the GDP front in Latin America and in Africa. So there, we don't know if it is some replenishment. We don't know if it is Chinese manufacturing pushing some products into those markets to generate demands. And that is something that we -- and that's why it's a bit hard to forecast how long it's going to go. We feel pretty comfortable with the data, the aggregate data that we have on Lead Logistics, that this is going to continue at least for a quarter from now. And therefore, I think second quarter and the beginning of the third quarter should be okay, volume-wise, and continue at a good level. But we have very little visibility beyond that 2 months to 3 months horizon forward.
Operator: Our next question comes from the Cedar Ekblom with Morgan Stanley.
Cedar Ekblom: I've got 4 questions, please. So the first one is just to come back on your comments around Q2 being better than Q1. If we look at base rates, freight rates, they're down on average, Q2 at the moment relative to Q1. And you're giving a picture of that continuing to normalize gently as we move through the year. So I just wanted to understand the drivers of a better Q2? Is that really down to the cost being lower because your network is now restructured? Or is it around the contract structures that you have in place? And maybe just a little bit more around where your contracts have been struck relative to the sort of spot markets and the timing of those contracts rolling off would be helpful. So that's the first question. I don't know if I should stop there before I go through the rest.
Vincent Clerc: Let's try to take this one. You have 3 things. I think when you talk about the rates, the indications that you have for the second quarter are actually largely based on short-term freight index, which are lower than what they have been, you could say, at the beginning of this. But actually, what makes up our average freight rate for the quarter here in the accounts is 3 things. One is what the short-term freight rate is doing. Second is how quickly we've been able to translate rate increases onto the contracts, in some cases in the middle of those contracts, which has been a negotiation process in the course of December, January, and February. And so that has phased in at, you could say, a delayed pace compared to what you see on the freight indexes. And then finally is the revenue recognition, because our revenue recognition has actually been slowed down. We recognize revenue as percentages of the transit time. As we extend the transit time, we lower the revenue recognition in the quarter. And as this stabilizes, so you go from an extension to having the constant revenue recognition, then you get some base effects that are favorable. So when you put these 3 things in place, and then you add to this the fact that there is now, because of the shortage of capacity as a result of the redeployment across the industry, you see actually a broader base of application for the rate increases into trades like Africa or Latin America that maybe at the beginning of last quarter were unaffected by this. Then you get into a picture where the second quarter should be better than the first one.
Cedar Ekblom: And if you could just follow-up on the sort of second part of that question there. So how do we think about where you've contracted relative to spots, maybe just on the sort of 3 or 3 major routes? And then if you could talk about when those contracts would be coming up for renewal so we can understand a bit more of the phasing as spot rates continue to move lower, assuming your outlook is correct.
Vincent Clerc: So one of the things that leads us to be very careful is that a lot of the revenue improvement that we have gotten on the contract is due to surcharges that we've been able to basically push through during the life of the contract. And that will stay in place, you could say, as long as there is a good commercial reasons for that. But the day that those disappear will be hard to keep on justifying it. So as I mentioned, I think in one of the earlier questions, for a lot of the contracts that are affected, they were negotiated in the fourth quarter before the Red Sea, then they were increased during the life of the quarter. So far, we don't see a big threat in having that revised, at least in the second quarter, but as the overcapacity starts to come, we may get into some commercial discussions with some of the accounts that need -- that these contracts need to converge back to what they were negotiated before the Red Sea. That's something that we need to work on and mitigate in the quarters to come. Then the contracts we have negotiated since, they are negotiated at a high level, and there we have better capacity to have them stick through the year. But the horizon for the negotiation is the same. It's always been. So you have most of Europe is around the calendar year. Korea, Japan is February, March, and then U.S. is May 1.
Cedar Ekblom: And then just 2 questions on costs. You talk about getting your costs down to the 2019 level. I'm not sure if you have in mind a timeframe for that. Are we thinking about that being quite rapid once the Gemini network goes live next year? Or is that a more medium-term phasing in costs?
Patrick Jany: Yes, it's Patrick here. So I think we have guided early on in previous quarters that the aim is really to get back to 2019 levels, bunker adjusted by the end of 2025, right? There's a lot of work here to be done. So we are progressing, as you can see, in some elements. The Red Sea situation has provoked some increase in the cost. We are -- the charter -- time charter is not coming down as totally expected because there's a tightness in the market, right? So these are things which we have to consider. But we'll get there. So it's an aspiration by the end of 2025. And I think we are well on track, but there's still work to do.
Cedar Ekblom: And then on the ETS, obviously with the rerouting, you would expect that your emissions are up. Do you have any estimates on what you think your ETS cost is going to be? I know that the carbon price moves around, so maybe you have an estimate on volumes and how that's changed relative to what your expectation might have been before the rate's the issue. And then I have a final question just on Logistics margins as well after that.
Vincent Clerc: So on the ETS, obviously having to sail longer distances, and right now having to increase the speed of service is going to affect the emission that we report in during this year, for sure. And therefore, it's going to increase the ETS. I don't have the number to tell you what it's going to be. And it will, of course, also greatly depend on how long the situation endures and whether we go back to the normal routing soon or not. I can say that from a current situation perspective, this is not a concern from us from a profitability perspective. But that is obviously something that we continue to monitor.
Cedar Ekblom: And then just finally on Logistics, appreciate you taking all the time. So the Logistics margin, I think we would all agree, is a little bit disappointing. You've spoken about focusing on that going forward. How do we think about the path to margin recovery? And how do we also think about the margin of that business in the context of press reports at least suggesting that you would be willing to make a very large acquisition in the logistics industry? That would be helpful to get your thinking on that.
Vincent Clerc: So, yes, I agree with your statement that the current results are disappointing. I want to point to a couple of things to understand what's going on in Logistics. We have been building out this Logistics pillar over the last 5 years, which has meant that we have had a large focus on growth as we were building up the networks and getting scale. As there was a sharp correction, last year, we saw that some of the shortages that there was suddenly became a bit of overcapacity, and so for us, what that has meant was lower utilization of our warehouses, which have affected our margin last year significantly. And also, an organization that was too big compared to the amount of transactions we had in a normalized market. So as a result of this, what we've seen in 2023 was basically most products and all regions were behind where they had to be in order to deliver on our aspiration. A lot has been done. We've talked about what we've been doing in cost with rightsizing the organization, and we've gotten to where we need to be. We've started to put plans in place and to act on the utilization of our warehouses. This is something that takes time because you basically need to match where you have the capacity open with finding a customer that has business that he can move into that place at that time. So it takes a bit of time to get done. So that is something that is on the way to do. What is the case right now, is actually as a result of what has been done so far, most products, and Patrick's talked about our transportation, our Lead Logistics, most products now have a right-sized cost base and they are delivering the margin that we target. But the one on contract Logistics is taking longer and needs to be brought into a good place by the end of this year. And then we ran into what is a real unexpected issue and a new issue for us on this implementation in the Ground Freight, a few large contracts that have kind of overwhelmed a bit the network and caused a lot of extra cost as we had to dig ourselves out of a backlog. This we need to fix also in the coming months, actually, in order to get done. So whereas on the headline number, it's frustrating, I would say that when you peel that onion on Logistics, there is more causes now to see that some of the fixing work that has been done is bearing fruits. But unfortunately, it's being overshadowed by these issues in Ground Freight that have offset the progress we've made in other areas. And it's up to us now. We have the plans. We know what to do. It's up to us to get it done and have that margin take the uplift. I think it's really important for us that we show progress in the short run, in order to ensure that we have a resilient execution machine that can deliver competitive margins. That is super important, whether we do a large acquisition or we don't, but we certainly need to have this as a prerequisite either way for continuing on a strategic journey.
Operator: Our next question comes from Marc Zeck with Stifel.
Marc Zeck: As you are talking about Logistics, I'd be happy if you could dig a bit deeper in this one, specifically talking about LF Logistics, Pilot Freight, and Performance Team. And I guess, Performance Team, I believe, is warehousing, U.S. Warehousing. And as container ocean transport into the U.S. is rebounding from last year's levels. Do you see a chance that at least for the Performance Team performance that Q2 or second half of the year might be much better than what we see currently as important to U.S. pick up? And on LF Logistics, I would be glad if you could say whether the guidance that you want stated for this business that it's going to double EBITDA until 2026, is that still valid? And if not, what might be the reason for that? And lastly, on Pilot, is it correct Pilot is one of the businesses that is not performing as well? And is it actually the one where you face these difficulties that you mentioned in Ground Freight? Could you say what's the actual extra cost from these new contracts that weight on the businesses, and what you're going to do with Pilot going forward is, I believe, I'd say the synergies or the connections to the rest of your businesses might not be as strong with Pilot as with Performance Team or LF. That would be my question.
Vincent Clerc: Good. Thank you. I think if I start with LF, the growth case for LF, I don't think has changed at all. And we will have to do -- we are executing that plan. The one thing that that is a risk for us on LF is, you're reading about consumption in China, and whether it's increasing or not increasing and so on, so of course, they have a very large part of the existing portfolio that is in China. And how the base is behaving in China in the future, if we see consumption stay flat in China, this is going to be a weight around the business case for LF. But if the consumption in China picks up growth again, then the organic, the new sites and the things that we can do aside for LF are remain confident that what we have promised is what we will deliver. What we -- the reason why I can say that is actually performance team, we have a longer time, if you will, to assess. And there we can see that actually the recipe that Performance Team has been bringing has led to the growth that we had set. Performance Team today in the U.S. is more than twice the size that it was when we bought them. You're right to say that the Ground Freight problem that we have today is happening in one of the part of Pilot, the acquisition. And therefore, you could say because of this, today we are well behind today where we need to be. And we need to solve these issues. I would not necessarily agree with the statement that Pilot is disconnected from the rest of the business. Actually, the Ground Freight is freight that moves out of the warehouses and into the freight station network that we operate for our e-commerce and for our normal omnichannel distribution in North America. So I think this is not a question of connection or lack of connection to the rest of the business. It is the fact that I think in simple term, the organization has been biting more than it could chew, and that has had some tough consequences. And we have now to right-size that business in order to get back to profitable growth. This has not been a good experience. So we have done -- we have been through the worst of it. Now, in the second quarter, we need to show convincing sequential improvements and confirm those improvements in the third quarter.
Operator: Ladies and gentlemen, in the interest of time, this was our last question.
Vincent Clerc: Great. And thank you, everyone, for a very fruitful, active Q&A where we managed to cover actually all our segments this time. I'm very pleased that there was also questions about Terminals and Logistics and not only the Red Sea. So I think it was a really good conversation. Now, to conclude with some final remarks. As we built on a quarter that developed in line with our expectations, we had good year-on-year volume growth across all our business segments. And specifically in Ocean, we had very strong delivery. In Logistics & Services, we saw good volumes despite some short-term challenges. We just talked about them in a couple of questions where we have clear plans about how we're going to get that on track. But we also see a large part of the business actually starting to fare very well. While in Terminals, we saw another quarter of excellent performance. On the back of a longer Red Sea disruptions and a stronger container market demand, we raised the lower end of our financial guidance. Thank you to the entire Maersk team for a fantastic job here in the first quarter. And to the analysts and investors, thank you for your interest in Maersk. And we look forward to seeing you on the upcoming roadshows. Thank you very much. Bye-bye.